Operator: Good day, ladies and gentlemen, and welcome to the Cameco Corporation Third Quarter Results Conference Call. I would now like to turn the meeting over to Ms. Rachelle Girard, Director, Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you, Elena, and good afternoon, everyone. Thank you for joining us. Welcome to Cameco's third quarter conference call to discuss the financial results. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and Chief Financial Officer; Ken Seitz, Senior Vice President and Chief Commercial Officer; Bob Steane, Senior Vice President and Chief Operating Officer; and Alice Wong, Senior Vice President and Chief Corporate Officer. Tim will begin with comments on Cameco's third quarter results and current industry conditions. After, we will open it up for your questions. Today's conference call is open to all members of the investment community, including the media. [Operator Instructions] Please note that this conference call will include forward-looking information, which is based on a number of assumptions, and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Timothy S. Gitzel: Well, thank you, Rachelle, and welcome to everyone who has joined us on the call today as we discuss Cameco's third quarter results. We appreciate you taking the time to join us today. I'm happy to say our financial results were positive across the board this quarter. Revenue, gross profit and net earnings all increased for the quarter and for the first 9 months of the year. Our uranium segment was the main driver of those results. It returned revenues 89% higher than the third quarter of 2012 as a result of increased sales volumes and a significant bump in our average realized price, which really reflects the strength of our contracting strategy in this lower price environment. We're also starting to see some of the cost benefits of the restructuring we undertook earlier in the year. Overall, we're on track to deliver on our outlook and even expect to realize better results in some areas than previously indicated. We have updated our outlook to reflect these expectations, including increased revenues from our uranium and fuel services segments. So our sales drove strong financial result this quarter, but our production was just as strong, coming in at 9% higher for the quarter than last year. Our U.S. operations were a big part of that. Smith Ranch-Highland increased production over last year and our North Butte satellite operation has been continuing to ramp up. Rabbit Lake and Inkai also increased this quarter over last year. And we received more good news yesterday when the Canadian Nuclear Safety Commission announced its decision to renew our licenses for McArthur River, Key Lake and Rabbit Lake and granted our request to increase those licenses to 10-year terms. We are very happy with the decision and look forward to continuing our work at those operations and working with the surrounding communities. At Cigar Lake, good progress continues. You will recall that in September, we announced that we had discovered some seepage in the run of mine, or ROM areas as we call them, during commissioning of the uranium processing facilities. We determined we needed to install steel liners in both ROMs in order to ensure the mine would meet our high standards for safety and efficiency once up and running. I'm pleased to say that those installations are essentially complete. And of course, we have also been continuing with the other regularly scheduled activities to bring the mine into production. And we are, as we speak, jet boring in waste rock just below the ore body, so we're pleased about that. At the McClean Lake mill, the team at AREVA continues to work on the hydrogen issue in the leaching circuit and expects to begin processing Cigar Lake ore by the end of the second quarter of 2014. If we turn to the market, it's much the same as the previous quarter. The overhang from Japan's idled reactors remains. And more recently, we've seen some operational issues and shutdowns in South Korea and in the United States. Added to that, fuel buyers are well covered for the time being and as a result, are not under a lot of pressure to contract right now. So in that environment, the downward pressure we continue to see on the uranium price is not a surprise. The good news is that the Japanese reactor restarts continued to edge ever closer to reality. As of today, 5 utilities have applied to restart 14 reactors, and Japan's regulatory body is currently carrying out those evaluations. As one of the biggest catalysts for improvement in our industry, this is important progress that we are pleased to see. And while it certainly doesn't capture the headlines as much, there continues to be growth in our industry, significant growth, in fact, to the tune of 69 reactors under construction today. China is leading that growth with 30 reactors under construction, having started on 2 more just this past quarter. India, South Korea and Russia are some of the other countries with aggressive build programs. As a result, by 2022, we expect over 90 net new reactors to be added to grids around the world. As we've said before, it's just a question of how long it will take for that growth to become the more dominant force in the market than the challenges currently being faced. So for the time being, we've pulled back our own growth and have put serious cost restructuring into place. But let me assure you that we have not lost that forward focus. We still want to preserve the ability to be rewarded over the long term for the industry growth we see coming our way. That's why you see us taking the path we're on now, continuing with our plan to increase production, but in a more moderate way, the way that is appropriate for today's market conditions. So just before we move to questions, I'm going to ask our CFO, Grant Isaac, to say a few words about our cost of sales and our average realized prices, both of which have generated a few questions. Grant?
Grant E. Isaac: Yes. Thanks, Tim. As Tim mentioned, I simply want to comment on our quarterly average realized price and average unit cost of sales, which we have noticed has generated some comments since our disclosures earlier today, likely because of the very strong contribution of both to our quarterly uranium gross profit. For those of you who are navigating with the quarterly MD&A, I'll be referring to the uranium financial results segment, starting on Page 15. When you look at the average realized price, this, of course, reflects the strength of our contract portfolio and the mix of contacts, both fixed and market, that we delivered into during the quarter. Our price sensitivity table, which you'll find on Page 17 of our quarterly MD&A, is meant to illustrate, subject to some assumptions, how the mix of contracts performed under market price scenarios. This then suggests that declining market prices do have a moderate impact upon our adjusted realized price going beyond this quarter. When we look at the average unit cost of sales on the operating cost side, we would just note that this reflects an average inventory or single-bucket approach we have to accounting for our uranium costs. So all production and all purchases flow into the same bucket, on about a 2/3 to 1/3 basis if you wanted to think about it that way. With respect to the produced material, the costs have fallen. The costs have fallen on a unit basis because of higher production. But they've also fallen because of our restructuring and our efforts to reduce costs. And of course, we aim to lock in these benefits and make them as sustainable as we can. In thinking about the costs of the produced material, you could turn to our outlook table. Our outlook table still has the annual guidance of an increase of 0% to 5%, so a moderate increase in our average cost to produce material for the year, and we've held that guidance in the third quarter. When you think about the purchased material, the costs have fallen due to the purchase opportunities in the quarter. And of course, this source is subject to more variability. Of course, that quarterly activity on both the produced and the purchase basis flows back into the single-bucket approach or inventory accounting, and then to the extent that we see reduction, that has a bit of a life or a bit of a legacy effect on average unit cost going forward. So Tim, I just wanted to make those comments.
Timothy S. Gitzel: Thank you, Grant. So with that, we'd be pleased to answer any questions.
Operator: [Operator Instructions] Our first question is from Ralph Profiti with Crédit Suisse.
Ralph M. Profiti - Crédit Suisse AG, Research Division: I just like to switch to the Nuclear business, if I may. There was a restated supplemental lease charges in the quarter for actually something that was in Q2. Just wondering how much is that? And are these costs now capitalized or captured elsewhere in the P&L?
Timothy S. Gitzel: Ralph, we're scratching our head a little bit here. Grant, do you know?
Grant E. Isaac: I think that's something we can follow up. And just to add a little more clarity too, Ralph, I don't have the answer in front of me at the moment.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Okay. And if I can ask a follow-up, because you have left the guidance on the unit cost of sales unchanged, is there any reason to expect Q4 operations on a unit cost basis to be higher? Or is that guidance maintained just so that you're leaving the door opened for possible market purchases?
Timothy S. Gitzel: Thanks, Ralph. Grant?
Grant E. Isaac: Yes, the -- as we just explained, to the extent that the unit cost of sales reflect both purchased and produced activities, we think of purchased, some commitments that we have, as well as opportunistic purchases. So that guidance is maintained because we look out for the rest of the year and we see good restructuring performance. But we just don't fully know what the purchase opportunities might be and that's the appropriate guidance to maintain.
Operator: Our next question is from Steve Bristo with RBC Capital Markets.
Steve Bristo - RBC Capital Markets, LLC, Research Division: Yes. Actually, my question was also similar about the Bruce Power. The costs went down to $187 million. And I was wondering if that's a one-time adjustment for this supplemental lease charge adjustment or if we can expect similar costs going forward?
Grant E. Isaac: The costs -- the operating costs for the quarter were based on a number of things in Bruce Power. They reflected some deferred maintenance that was happening at that site, and that, of course, has shifted out some of those operating spends. The supplemental release, again, I'll get more information on that in a follow-up. But the benefits were just -- if you see them from a cost point of view, were just a shifting of the activity plan at Bruce Power.
Steve Bristo - RBC Capital Markets, LLC, Research Division: And then just a follow-up. Going back to your comments about the cash cost for purchased uranium. It was much lower this quarter. Is that mainly due to HEU material or like is this low cost sustainable?
Timothy S. Gitzel: Well, I think those numbers reflect the long-term purchase commitments we have in place, and a good chunk of that would be HEU.
Operator: Our next question is from David Talbot with Dundee Capital Markets.
David A. Talbot - Dundee Capital Markets Inc., Research Division: Thanks for this costs discussion, but I'd like to go into it a little bit more because you're down significantly quarter-over-quarter. So this $17.68 from the operations, you mentioned the lower cost due to the purchasing from the -- for inputting that into inventory. But really, that can't just be the whole story. I mean, are you getting some decline because perhaps Rabbit Lake's not up to full production? Or can you quantify this impact of the restructuring and the cost control program on your operating costs?
Timothy S. Gitzel: Grant?
Grant E. Isaac: When you look at the reductions on the produced side, the produced is in fact a unit impact that comes from higher production, of course, and then the balance is the reduction in costs, and we would portion those roughly 50-50. So to the extent that you're looking for sustainable cost reductions on produced material, we're starting to see the benefits of our restructuring program. The purchased material has already been talked about, it refers to purchased commitments that we have and there is variability, obviously, when we add opportunistic purchases into that as well. But if you just want to focus on the produced material, we see good contribution from costs, performance, as well as from higher production.
David A. Talbot - Dundee Capital Markets Inc., Research Division: Okay. And when you talk about decreased activity in your NUKEM purchases, $50 million to $70 million cash flow for this year, does that really account for volumes? Are you purchasing and selling about the same amount, or -- and that would flow into this inventory as well, but just at lower prices?
Timothy S. Gitzel: Ken?
Kenneth A. Seitz: Yes. Well, I can tell you that in terms of activity, NUKEM is performing as we had expected in terms of purchases and sales. I think what you're referring to is that NUKEM had intended to perhaps sell some inventory into the market, but given this current market situation, obviously elected not to and just deferred. So I would say, absent those -- if we set those inventory and sales aside, NUKEM is performing as expected. Of course, it varies quarter-to-quarter just like our own purchases and sales do.
Operator: [Operator Instructions] Our next question is from Oscar Cabrera with Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Just would like to ask you about Talvivaara. There's commentary in your MD&A that suggests that the company could have liquidity issues, and production from that may be affected on the uranium side. I was wondering if that production -- if you could quantify what the production is and if that is part of your strategy of producing 36 million pounds by 2018.
Timothy S. Gitzel: Yes. Thanks, Oscar. It is part of our strategy. And we've heard -- and we're in constant contact with the folks at Talvivaara. In fact, we have people over there helping with the uranium circuit, so we know -- we're very close to them and we have good information. In fact, some of them are coming over here as well. So we understand they've got some liquidity issues. We're watching that very closely, working with them, and we'll see what comes out. I don't know what the result will be. I think they're going to put some information out by the end of the year, sometime in this quarter, so we'll watch that. But that is part of our drive to 36 million pounds by 2018.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. And then, the follow-up, would it be possible for you to tell us what -- the amount of purchases during the quarter were 3.8 million pounds. Could you quantify how much of that was HEU?
Timothy S. Gitzel: Yes. Oscar, that's something that, as you know, we haven't done in the past and we can't do that now.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Would you say it was the vast majority or half of it?
Timothy S. Gitzel: I would certainly say HEU was included in that.
Operator: Our next question is from Mike Jalonen with Bank of America Merill Lynch.
Timothy S. Gitzel: Mike, are you there?
Operator: [Operator Instructions] Hearing no response, we will move on to the next question, which is from David Snow with Energy Equities.
David Snow: You've lowered the amount of Cigar Lake contribution for this year. Can you bring us up to date on the schedule of what's going on there and how it will play out going forward?
Timothy S. Gitzel: Yes. I'm going to, in a second, turn it over to Bob Steane. You will recall, as I said, we gave an update on Cigar just a few weeks ago, and not much changed from that. We're happy to say we're doing some jet bore machine testing right now in a cavity and waste, and so that's good. But Bob, do you want to give an update on...
Robert A. Steane: Yes, sure, Tim. David, really, we've -- just a couple of months ago, we announced that we had those problems with the run of mine systems with the leaking. We've repaired those. We've put the steel plates in, tested them, resolved the issues we had there. So we picked up from where we left off. And we're now, as we speak, getting our first full cavity and waste. It's a bit below the ore. So we've drilled out below the ore body and frozen ground, and we're doing waste drop for a couple of reasons. One is to work with waste to get all of our systems working. It's easier to make sure everything is handling the slurry when it's waste drop as opposed to uranium ore, which has a little more challenging aspects of radiation protection to work with. So it's really the first testing with the jig [ph] yet. It'll take us about a month. We will work through this. We've got -- we'll jet the cavity, and there's about 10 steps that go into putting in a cavity from the very first step, which is drilling the pile hole up and we got about 30 meters and then there's a whole number of pieces that happen right up to the -- in the end, it's to backfill the cavity with concrete, make sure all that backfilling system proceeds. So we're at step 7 of the a 10-step program. It sounds like a recovery of a [indiscernible] . We're on step 7 of the -- of that. So that will carry us through for another month or so to really get all of our systems, true up our systems in waste, and then we'll move on to ore. So we're now -- beginning of November, so sometime in December. So we'll probably start -- looking to start -- to mid-December, starting our ore cavities. And again, that gets us into production in Q1. We should see ore out of the mine.
David Snow: What do you think you'll be producing in '14?
Robert A. Steane: In 2014, we're still -- does that 72 [ph], we see where we were going with the schedule on the mills [ph] . Typically, we talk about production being packaged pounds, and we were working as it's still on track for starting in Q1, but they're working through there. They finished the basic engineering and going to the detailed engineering and developing the schedule. So until we get that, we're hesitant to put numbers on the schedule.
Timothy S. Gitzel: Yes. David, I think you asked at the start of your question, for this year, we've taken production, obviously, that we had in. And then we'll be updating in Q1 '14 on the production for '14.
Operator: Our next question is from Edward Sterck with BMO Capital Markets.
Edward Sterck - BMO Capital Markets Canada: I've got 2 questions. Just firstly on Rabbit Lake. Production for the 9 months to date was, I think I've got something around 2 million pounds. Guidance is slightly over 4.2 million -- or around 4.2 million pounds. Is there a fair amount of ore stockpiled to go through to the plants once the mill maintenance is complete? And so do you still expect to meet your 2013 guidance there?
Timothy S. Gitzel: Yes. Ed, it's Tim. I think we're still on track there. The mining there is not simple mining and we're -- the mill can easily keep up, so -- but I think we have enough stockpile where it should be close to making production for the year. Bob, do you have any...
Robert A. Steane: Yes, that production. We've -- actually, the Rabbit Lake mill was down for the -- some of the mill capacity, the mine capacity. The mine has been operating throughout the summer, that's why production is seemingly low, but we're still on track to meet our 4.2 million pounds packaged for the year.
Edward Sterck - BMO Capital Markets Canada: Great. And then my second question just relates to the sort of -- and I apologize, because I'm on the road at the moment and missed the introductory remarks. You might have mentioned this already. But in the commentary, the realized price this quarter were benefited from some higher price contracts coming through. Does that mean, in the fourth quarter, we can sort of expect some slightly lower price contracts coming through?
Timothy S. Gitzel: Ken, do you want to answer that?
Kenneth A. Seitz: Yes, a fair question. I think what you can still just refer to is our price table that we put out. And so you can make some assumptions about what our uranium prices will be for the balance of the year. But that table, I think, still reflects what -- how we're going to perform in the year. It's a big quarter for us in terms of deliveries, and it's going to be a mix of some market-related and -- but more fixed priced contracts. And again, it's in the table.
Operator: Our next question is from Oscar Cabrera with Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: So just with regards to the uranium market. Interested in your comments about the U.K. revisiting the -- or not revisiting, I'm sorry, but planning on getting new reactors built after, I believe it was the last 2 decades is the first time they do a new reactor. So just comments on that please to start with, and then a follow-up please.
Timothy S. Gitzel: Yes. Thanks, Oscar. We find that to be very good news to see, in Europe, U.K. sticking with nuclear, despite what some of the neighbors are doing there. Having now found a price with EDF-strike price, which is a healthy price, I would say. But obviously, they have done the economics on that, and they need safe, clean and reliable power there in the U.K. and they've chosen to have nuclear as a big part of the mix, so that's part A. Part B is you've got EDF in there, and now the Chinese are coming in to invest heavily, I think, into the U.K. market. So really a bit of a sea change, I would say, but I think very positive.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Great. And then continue to get this question, I'm pretty sure that you guys have. Just wondering if you can provide us with color or comments. As Japan continues to delay their restarts of their reactors, how should one think about the level of inventory or how many years or months, I don't know, how you can put it? What should we expect -- if these reactors come back in 2014, for how long would the utilities have their supply of uranium complete without the need to increase this?
Timothy S. Gitzel: Yes, Oscar. We have talked about that in the past. And the only thing that's maybe changed from our comments in the past is that it is taking a bit longer, I think, for the NRA, the regulator, to review these units that are under review. I think today, there's 5 utilities with about 14 reactors being reviewed. We look forward to the completion of that review. I think I heard someone say that we're in month 5 of the review, so it's -- we're obviously getting closer to the decisions on some of them, so we'll see. I would say this that prior to the Fukushima event, the country consumed about 20 million pounds a year, normally held around 3, 4 years inventory, so that's probably up by a year. And so I think you can expect that, wait to see what their policy on inventory is going forward when the units start restarting again. I can tell you, just something else, I'm heading there actually on Sunday for a week. We're visiting with all the utilities that are -- that have units in the lineup for restart. And so we'll certainly get some on-the-ground information while we're there. And if there's anything interesting, we'll certainly update you there. But I think that's -- they probably have 4 to 5 years inventory, which isn't way out of line with what they've kept in the past. And so the good news is we haven't seen them putting that inventory on the market. We've worked with them. Ken and his group have worked diligently for 2.5 more years now, as have other suppliers to help manage that inventory, and I think it's gone quite well.
Operator: Thank you. This will conclude the questions from the telephone lines. I would now like to turn the meeting back over to Mr. Tim Gitzel for his closing remarks.
Timothy S. Gitzel: Well, thank you, operator, and thank you to everyone who has joined us today on the call. I'll just close by reiterating what are, in my view, the key things to take away from today. First, the long-term fundamentals of our industry remain strong, and the growth is occurring today. That said, the uncertainty persists and the industry continues to feel the effects. At Cameco, we are not immune to those effects, but we've continued to succeed, as I think our results show today. We have been able to adapt to conditions in the market and continue to pursue a long-term growth plan that we believe will be needed once the current uncertainty clears, and the market is driven by the real fundamentals underlying it. I just want to say one further note before we sign off. I was in touch with the President of our partner, AREVA, this morning, who advised me that the AREVA hostages, who have been held for over 3 years, have been safely returned to France from Niger. This is great news, important news for all of us as some of us know these people personally. So we're really pleased on that account, a great day for AREVA and great for all of the mining industries. So with that, thank you again and have a great day.
Operator: Thank you. The Cameco Corporation's Third Quarter Results Conference Call has now ended. Please disconnect your lines at this time. We thank you for your participation, and have a great day.